Operator: Good day, ladies and gentlemen, and welcome to the Quanterix Corporation Q1 2019 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator instructions] As a reminder, this conference call may be recorded. I would now like to introduce your host for today's conference, Mr. Amol Chaubal, Chief Financial Officer. Mr. Chaubal, you may begin.
Amol Chaubal: Thank you, Josh. Good afternoon, everyone, and thanks for joining us today. With me on the call today is Kevin Hrusovsky, our CEO, President and Chairman. It's my first call with all of you and I'm honored to join Quanterix and our impressive leadership team that has achieved considerable success in a very short time. I also admire Kevin's passion for precision health and his transformative and [disruptive] [ph] leadership style that has completely transformed Quanterix as a company. I look forward to working with each one of you in the coming months. So before we begin, I would like to remind you about a few things. As Josh said, this call is being recorded and will be available on our Investor Relations Web site. Today's call will contain forward-looking statements that are based on management's beliefs and assumptions and on information available as of the date of this call. We may not actually achieve the plans, intentions or expectations disclosed in our forward-looking statements. Forward-looking statements involve known and unknown risks, uncertainties, assumptions and other factors that may cause our actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. The risks and the uncertainties that we face are described in our recent filings with the Securities and Exchange Commission. One other thing, on January 1, 2019, we adopted the new accounting standard, ASC 606, under the modified retrospective method. Hence, current year financial information is presented under ASC 606 while prior year amounts are presented under previously applicable ASC 605. Overall, at this time, we believe the impact of adoption of ASC 606 will not be material for our full year fiscal year 2019. With that, I will turn the call over to Kevin.
Kevin Hrusovsky: Thanks a lot, Amol, really appreciate it and welcome to your first call, Amol. We are excited that you have joined Quanterix. And today, we're going to go through the same agenda that we've gone through the last several quarters, where I'll provide highlights of the quarter, update you on the goals for 2019 and make sure that you understand the aspirational dimensions of this company and the possibilities around transforming medicine, starting with neurology moving on to oncology. And then, Amol will provide a little bit of a detailed look at the financials and then we'll wrap it up with Q&A. So my first slide, there's a deck that we're following here. It would be considered Slide 4 in the deck. Basically, upper left is the sensitivity of our technology that we are exploiting to create some new markets that we are gaining very rapid position within. In the middle of this slide at the top, you can see that we're starting with neuro, but we're going to be adding oncology and we're actually starting that addition of oncology this quarter with the launch of a whole new platform of technologies for oncology. We believe oncology is 3x the size of neurology, but we also believe that there's more competition in oncology. In neurology, we're a first mover making great strides. We're only 5% to 10% penetrated in neurology. So, we still got a long way to go. But the way we are deploying this is we're starting in research where there's no regulatory or reimbursement risk, and we're evolving the size of that market by moving into services. And in this case, pharma services, getting drugs approved with a much higher level of probability is key to the value proposition. We ultimately, however, bring biomarkers from this research market where we've got instruments deployed around the world and we've got some of the top thought leaders around the world looking for new biomarkers. NfL, neurofilament light, is an example that three years ago, we hardly had of any. And one our customers used our homebrew and uncovered it and we basically now -- this past quarter, I think we actually doubled the size of our products, many of it is due to the rapid ramp-up of NfL, neurofilament light, being able to look at neuro and axonal health and damage of the brain non-invasively in blood. So ultimately, we are going to be deploying these markers and a diagnostic strategy and we've got all those rights back in September of 2018. And so we're working and using some of our investment funds today to go about what we consider to be a crossroads into that diagnostic landscape. So, overall, on the right-hand side, the arrow is just depicting the fact that everything we're doing today is research. There's no regulatory reimbursement risk. And you can see the consistency of the ramp that we've been projecting. We've been saying that we would be able to grow 40% in the long-term despite our base getting bigger. And this quarter is a good example where we were able to grow at 64%. That's 70% if you exclude collaborations. And every quarter since we've gone public, we've accelerated our growth mainly because many of our investors own pharmaceutical biotech stocks and they want those drugs to get approved. And so they've been very helpful. Our investors have been helpful in introducing us to key clients that are trying to get those drugs approved. We've created a win-win and have many investors actually helping create value for us by getting those introductions into pharma. Some other highlights other than the growth is our gross margins. We had a 700 basis point improvement this quarter. Some of that's mix and you'll get into some of this with Amol, but the consumable is a very good mix move for us, as we've stated in the past. Amol being with us is one of our big wins. He's got a lot of experience in pharma where we're actually playing this out, as well as in specialized CRO services. And as we scale our company, he's got all the skill sets to help us scale and keep the predictability that we've always been able to have with very strong execution, but still maintain the aspirational opportunity that we know this company represents. We also hired Mary-Ellen Cortizas that's running our accelerator lab, and she also brings the clear capability that came with Aushon when we made that acquisition a little over a year ago. Also, as we mentioned, we launched not only the SP-X for oncology but we launched many assays into oncology that are going allow us to have another growth catalyst for oncology. But interestingly, the thing that we've really brought a lot of focus on are the third-party peer review publications to validate our technology. We've never had this level and this number of publications in one quarter, but 61 new publications occurred. So there's a now tsunami, avalanche of publications starting to come out, which is a lot of the Powering Precision Health investment working with all of the thought leaders around the world with our technology. You may have seen us on CNN where one of our neurologist teams in Europe was able to identify elevations in NfL in familial Alzheimer patients 16 years before symptoms. And this is consistent with what many of the Chief Medical Officers of our pharma customers that are in neurology have been saying that seeing these diseases much earlier will allow a whole new drug strategy for getting drugs approved, which the FDA has now issued guidance, actually enticing companies to have biomarkers to reveal disease long before symptoms so that it can be a much easier pathway for pharmas to get drugs approved. We also interestingly found a marker. One of our cancer teams at the Salk Institute found an LIF pancreatic cancer marker, which they think is going to be a great drug target for advanced stage pancreatic cancer. So again, these are examples of how the technology is revealing special opportunities for drug discovery and development. The next slide just illustrates what we've basically talked about, but it does break down the instruments in the consumables and the services. We look at our services as primarily a swing capacity of opportunity and with major surges of growth like what we saw in Q1 where our product revenue basically doubled. We're able to deploy some of those service opportunity -- those service resources to help fuel and fund and resource many of the, what I'll call, significant trials that are beginning to happen in NfL and in related neuro markers. And the high margin is really a result primarily coming from the mix effect of growing the consumables so aggressively. So this next slide is probably the most strategic and it basically illustrates the secret sauce that we've had laid out back five years ago when we came in was publications would be the key to identifying key biomarkers, which then will be the key to enabling studies to be done in our accelerator, which then would lead to instrument sales, which then finally will lead to consumables sales. And you can see that we have two quarters now of very rapid growth in our instruments. I think we're averaging about 70% growth over the last two quarters and that's a major catalyst because we were flat on instrument placements for about three years and so we started to see the second half of 2018. And then, you can see that we're having very strong consumable growth. There is some favorable timing in that consumable growth by being able to cater to some of these major trials, but we also know that there's a lot of new trials that we're trying to source going forward. It makes us very bullish about our ability to continue very good growth trajectory and to achieve all the growth targets that we said we would be able to do for the year. And the accelerator continues to not only add more studies, but we're also doing Phase 1, 2, 3 trials in-house primarily for neurology. So, we are now over 500 third-party peer-reviewed publications further validating our technology. Next slide just illustrates the geographic, the customer and the disease breakdown. And you can see that 77% in Q1 was in neurology. We are starting to see some oncology 17%. Our customers, we had faster growth in pharma/biotech primarily because of these larger trials. And geography, we are starting to focus on Asia and you're starting to see that up tick. The next slide shows you the goals that we set out to achieve for 2019. We are on schedule or ahead on every single goal. So, we're pretty excited about the very fast-paced launch that we had for the SP-X and the CorPlex assays in the oncology segment. But in every category, we give ourselves a green light for Q1 meaning that we're making great strides across it. So now I'd like to turn to just make sure you have a good feel for what it is we're doing to disrupt the industry. On the left-hand side, you can see today for cancer and for neurology, it's very invasive to determine what the state of a patient is relative to disease. And it's normally very late stage, stage 4, when you see it. And our goal was to move it to blood-based, less invasive saliva-based testing that gives you these biomarkers in a much less invasive way so you can see disease much earlier with our exquisite sensitivity and the less invasive the test, the lower the protein level and the earlier the disease, the lower the protein level. So that's, in the highest level, the way we've been able to deploy our sensitivity to create a differentiation. And that's what Slide 10 illustrates and we're primarily focused on cancer and neuro. And the next slide basically takes those same categories and shows also about the bottom, what we consider the size of the biomarker market to be inside of these diseases. And cancer, with liquid biopsies continues to be an area that we think is going to be a very large opportunity for our company as time goes on. In neurology, we now think we can see a $6 billion opportunity between research and ultimately diagnostics. And we now got 170 pubs in that neurology area, 50 different biomarkers looking at brain health from different vantage points and we'll talk more in a moment. The next slide just illustrates the different ways we bring revenue into the company, starting with instruments. And on the slide, you can see there's two new ones in blue that we're launching. We launched the SP-X end of Q1, early Q2 ahead of schedule. And the HD-X, we're projecting by year end, in Q4, we'll be launching. We're real excited about that being the next generation of HD-1. And the assay kits, they're not just bead-based now but they're also planar and plate-based. And on the right-hand side are services, which you can see in bold at the bottom, they also now have CLIA and LDT capabilities, which allows us to work closer with pharma on getting these drugs approved. Key to our strategy is continuing to invest in sensitivity given that we can exploit that in a lot of different ways. And so Slide 13 shows, on the left -- on the Y-axis how sensitivity is the key to the third-generation instruments that we created where we would say Luminex had the first generation, and then, second generation was MSD and planar. We now have both bead-based of Luminex and planar-based of MSD and what we would consider to be third generation bringing sensitivity. But at the upper right corner, you can see we are making investments to have by year-end 2021, another 100x. And already in prototypes, we've gotten to 10x additional sensitivity. So we're very excited about the continuation because today many of our customers in neuro particularly can see things in the cerebrospinal fluid that are subsets that indicate those subset isomers indicate different fractionations of the different neuro diseases that they cannot see those proteins in blood today, a 100x sensitivity increase would enable us to see them in blood. So that's why we're really excited about how that will engage the next frontier of medicine. And we do think -- this continued to show the slide where it shows where -- our sensitivity is the most important thing, but dynamic range and automation, ease of use and the precision of the sensitivity are all very important differentiators from the competitive platforms. The summation that we showed earlier is that by having the sensitivity and deploying it, it not only increases the probability of getting a drug approved by 300%, but it really hones in on lower doses because diseases are caught earlier. That makes the drug safer and less toxic and increases the efficacy by being earlier in a disease cycle. And that's what the FDA now is encouraging pharma customers to use biomarkers to get drugs approved because it can make the drug safer and less toxic and more effective. And on the right-hand side, you can just see an update that there's now 38 different machines out in CROs, like the LabCorps, the Quests, the Rules-Based Medicines from Myriad. These are incredible institutions running these Phase 1, 2, 3 trials for our pharma customers. You can see the number of those trials. The next slide just updates you that the FDA continues to issue guidance on biomarkers and one of the more interesting one when you consider the failed beta-amyloid, anti-beta-amyloid drug from Biogen about a month ago is that they're really encouraging looking at stage 1 and 2, which is pre-mild cognitive impairment. Before that symptom, if you can have biomarkers ruling on that and then you can affect those biomarkers with your drug, it represents a new opportunity. And so we actually think there could be a lot of drugs that have already been tried that could not be efficacious for Alzheimer's. Maybe if you can get to the disease earlier, those could be brought out of what we would consider to be a failed drug into a positive drug. The next two slides just show in 2014, we just had a few customers bet on us, but you can see how that's ramped up and it's pretty broad-based, which gives us great distribution, not a lot of concentration in our business, which we think is important. This next slide just illustrates all the different categories of biomarkers in the brain that we see a lot of interest in. And the one that we have spent a lot of time in is the axon where -- and the neuron where we're using this neurofilament light. And the next slide just shows you how rapidly the publications across these different disease categories have evolved and that's also led to the markers growth and then the instrument installed base growth, which then leads to the consumable growth. This next slide just shows you how in the last two years the ramp of neurofilament light publications and I call it the three shots on goal. MS, TBI, traumatic brain injury and Alzheimer's, all three of them basically destroy neurons and that gives our technology an opportunity to look at disease progression. In all those pharma customers on the right, there's 46 active trials right now utilizing the serum NfL, which are the standard best in case. The next slide just illustrates that NfL is not just for MS and TBI and Alzheimer's. You can see ALS and Parkinson's and others are now beginning to evolve and we really believe that neurons get damaged across all of the different neuro diseases. The next slide just illustrates for later -- some of the publications that are coming out. One of them is for Alzheimer's and one's for MS. These are game-changing pubs. We were just at AAN this week and there's just a record number of Simoa presentations on neuro. You can see the rapid ramp on Slide 24 of all those publications using our Simoa technology. That led us to do a major trial across the globe, 17 different sites and we've got great uniformity across all 17 sites showcasing the analytical precision of our technology. And this next slide is a normalcy study that we would like to run with 18,000 normal patients and we're going to do this with collaborators. Jens is one of the top collaborators in the world, as is Professor David Leppert. But to run a normalcy trial, so we can see the normal levels of NfL from age 7 to age 70, that will be the baseline that will be used to -- say, if you're above that, there's likely some issue going on that we would then want to further dive in with specificity. These next two slides really deal with the 16-year before symptoms for Alzheimer's and that recent study that was published that gave us a lot of good press. The slide after that just shows that someday, we think that what's being done with the PET scan, there's evidence for tau and for beta-amyloid that that could be done in blood or cerebrospinal fluid with our technology and we're going to continue to make investments working with pharma to help on that front. And aducanumab from Biogen was a great example of maybe where we think other technologies, biomarker technologies, could play a role as many other drugs for Alzheimer's throughout the industry. And you can see that there's a lot of what we'll call breakthrough status designations being given by the FDA for anyone that can measure these biomarkers in blood for Alzheimer's. It's somewhat of a national priority. The next slide is the final neuro slide that says that we're also working on concussions and the role that we think our technology can play in here. There's a major trial the FDA is funding right now, TRACK-TBI, that's using Simoa to get a database of NfL data, as well as a few other markers for concussions. And then the final slide on applications will be this pancreatic cancer publication just came out a week ago. We're really excited about the promise of now moving into cancer. So those are the high-level summaries that's keeping our overall strategic vision going. What I'd like to do now is turn the table back over to Amol to now go back through these financials in a little bit more detail. Amol?
Amol Chaubal: Thanks, Kevin. I'm going to refer to Slide 32 as I walk you through some additional details about our Q1 2019 performance. As Kevin noted, revenue in Q1 2019 was $12.3 million, compared to $7.5 million in Q1 of 2018, which represents 64% revenue growth. Product revenues more than doubled, growing from $4.7 million to $9.6 million. The main driver was the increase in our consumables revenue, which increased by 124% and continues to increase at a significant rate. Instrument growth was also strong at 70% during this period. Service revenue increased 11% as resources were prioritized towards the growth volumes of our consumables business. As stated previously, we are not providing revenue guidance. Our goal is to deliver meaningful growth each quarter while continuing to build backlog for future quarters. Gross margin in Q1 was very strong at 48.7%. Prior-year Q1 was 42.2%. The 650 basis points increase over prior year was due to volume leverage as well as productivity gains in our consumables manufacturing. We believe we have a significant opportunity for gross margin expansion in the future as we scale our overall business, reduce product cost and continue to drive the mix to more consumables revenue. Operating expenses totaled $15.4 million in Q1 2019 versus $10.4 million in Q1 2018. As we discussed in our Q4 2018 earnings call in March, we expect operating expenses to increase from our Q4 2018 baseline as we look to continue to add to our commercial organization and other key areas of our business, including adding resources to support the development of our diagnostic strategy. Q1 is traditionally a high cash use quarter due to prior-year bonuses being paid out in Q1 each year. In addition, we have high levels of working capital due to strong sales performance coupled with continued progress in building safety stock levels to sustain the growth of our consumables business. The balance sheet is in good shape as of March 31, with approximately $35 million in cash, which includes $1 million in restricted cash as collateral for the letter of credit we issued as a security deposit on our new office. In April 2019, we extended the interest-only payment period on our debt facility through to July 1, 2021, and also extended the maturity date on our debt facility until October 1, 2021. So overall, we are pleased with our Q1 performance and are committed to delivering solid 2019 results. With that, I would like to turn it back to Kevin.
Kevin Hrusovsky: Thanks, Amol. And I would close by showing the slide that we've shown for the last two years that basically says we see two components how to create this disruptive value with this technology. The first is to find the market that is very aspirational that can get after some major headlines, such as changing the course of cancer treatment and/or preventing cancers, such as changing the course of neurodegeneration and/or preventing it. We believe that the market opportunity is ultimately that large and that aspirational, but now to execute is the second major phase. We've got a track record for execution. We're proud of that. We've got a management team and a group of employees here that are incredibly committed many of them working through their vacations and through a lot of their personal time because they're so mission-based around what we're doing. Our employee group is one of the best I've ever been exposed to or get an opportunity to work with. And that means that we've got to start with validation of that market opportunity in the third-party, peer-reviewed publications coupled with all the pharmas and biotechs now utilizing our technology to get drugs approved, and also the third component being these trials, Phase 1, 2 and 3. We think that that is a validation that's very important in this post-Theranos world to have the strong validation to the technologies that we're bringing forth. And then, to execute with a razor-razor blade model, which you can see that that's always the most predictable, the most able to see visibly forward is when you can create an installed base and then create a lot of excitement for the consumables going through it, which we believe we've got a very good formula for doing that and now we're expanding into multiplexing with that overall K-Cup, Keurig brewer or razor-razor blade model. And then to continue to lower the risk by going after the markets first that don't have regulatory or reimbursement and allow a lot of growth and allow our investors to capture value creation while we build into some of the newer areas and don't put that risk onto our investors. And so we do have a track record in this disruptive area and we utilize a lot of our collaborators, our customers in what we call Powering Precision Health, where we actually explore these publications with them and we encourage it. And so the summit gives us a chance to really get to the place where the rubber meets the road and create a lot of interest and publications for future biomarkers. This last slide does have a lot of different places in the press that we've been in the last three months, a lot of interviews. You could click on our Web site or on this slide to see some of them. They're like five minutes in duration but they give you a lot of perspective to the game-changing, aspirational side of the opportunity, as well as the execution side. So with that, we'd like to open it up for questions.
Operator: [Operator instructions] Our first question comes from Sung Ji Nam of BTIG.
Sung Ji Nam: Hi. Thanks for taking the question. Congrats on the quarter. Kevin, maybe starting out with the strong instrument sales, could you talk about whether that's coming from new customers versus existing customers in terms of what's driving the -- what drove the growth in the quarter?
Kevin Hrusovsky: I would say, Sung Ji, 2/3rds of it is coming from new customers. A lot of the newer platforms that we've launched in the last 12 months are bench scale, which gives us the opportunity to kind of reach into academia in Asia a little bit more productively than the large standalone. So that's given us, we think, a fairly good vehicle to get into the newer customers that we think some of them will ultimately even want to have a higher throughput fully automated HD-1. We do definitely though see continued growth from existing customers in instrument sales and I think that what we have found in places where the HD-1 is being deployed is that many of these customers would like have the smaller SR-X as a way to do assay development in preparation for the larger runs. So there is a pretty nice, complementary way to utilize both instruments. None of this instrument growth that you're seeing right now is from the newest launch, which we just launched this month basically or the last month, which is the SP-X moving into oncology. That's a whole new growth catalyst that will take a couple of quarters to materialize, but we are very encouraged by the early signals from it.
Sung Ji Nam: Great. That's very helpful. And then, on the consumable revenue side, also very strong there. I'm not sure if I'm interpreting it correctly, but was there a bulk order and if not -- or bulk orders that kind of contributed to that this quarter. And if not, then should we think about potentially higher consumable pull-through for the different instrument?
Kevin Hrusovsky: Yes. It's a great question, Sung Ji. We've always felt that when you're a smaller company, we've got to be really careful never ever to mislead investors -- make sure we maintain our conservative nature to ensure that we're putting our capital to work in a very productive way. And so because of that, even though we're starting to see the significant instrument inflection point of growth for the last three quarters and that installed base is growing faster, even though we've also found that each instrument as we add more menu is expanding the utilization of each instrument because you're getting expanded footage, I do think that there probably has been some level of bulk ordering that has occurred in Q1. But the thing that's a little bit delicate here is we had that same bulk order in the last several quarters because these trials that pharmas start to take on, they do require you to buy in at some pretty significant levels. One thing we've been surprised by is the speed in which what they're buying or they're deploying. So we don't have a long shelf life on our consumables. So they have to be really deployed pretty rapidly once they're bought. The new planar technology that is going into oncology does have a lot longer shelf life. So that consumable could sit in the customer shop a lot longer. But, in the area of neurology and the bead-based technologies, it's not a lot of shelf life. So it's primarily gearing up for utilizing data to help drugs get approved. And again, we're only 5% to 10% penetrated in that landscape. And so we think it still represents a significant amount of instrument growth, as well as consumable growth and we would encourage everyone to stay calm around the 33% number that we've used for really the last three years. A third of the instrument revenue that we bring in each quarter, six months after bringing it in, we think will be productive annuity of about 33% of that selling price. And that model, we think, is a good way to continue growing the consumables, which probably caused us to feel really confident over a weighted average of 40% longer term, of which I think you're going to see higher growth occurring likely in the consumable than any of the other two categories. I would say that the services revenue is the lumpiest because we can use it as swing capacity to support resources across the company. And instrument revenue is really a function of us rolling out technologies that are form factored for the various market segments. And that's a lot of what we've been focusing on the last two years. It's rolling out those new form factors. And SP-X is our latest rollout of that. So I hope that helps. I definitely wouldn't be modeling triple-digit growth, but I would say that 33% of our instrument list price revenue six months later should be a very achievable level for us and we're seeing that grow as our menu grows.
Sung Ji Nam: Great. That's very helpful. And then lastly, just on the SP-X, just could you comment on kind of what the sales funnel looks like currently, if you could comment the backlog there or what your go-to-market strategy is for that.
Kevin Hrusovsky: Yes. I personally would downplay, I know a lot of investors feel I do this a lot. But I would downplay expectations for SP-X primarily because there are some incumbents. This is a segment that there's a lot of Luminex. There's a lot of MSD. There's a lot of, what I'll call, incumbent systems where we're moving now into a segment and trying to disrupt it based on sensitivity that really we know we've got great differentiation, but it's not as black and white and as quick as in neurology where there's nothing else in there to play, right? And in oncology because there's that installed base, it might take a little bit longer. But I would say we already have some sales, which is really encouraging. That was the bad news side, Sung Ji, but the good news side is, we have actually already experienced some pretty nice moves in sales occurring on SP-X. We already got some -- I don't know how many is single digits, but we do have sales now on the books and we should definitely see some sales in Q2 based on that, converting those bookings into revenue. We do have three test beds, I talked about previously that three very significant customers own. And what's been really remarkable is the pull-through that we're seeing on those three locations and they have multiple SP-Xs. But the pull-through is almost at a level more like 66% versus 33%. So while I wouldn't change the 33%, I do think that there's an opportunity here for a pretty interesting move in oncology. And I'd also say our gross margins are better for the instrument of SP-X. So we've got a lot of things working in our advantage that we could deploy in oncology, but I would say the ramp might be a little bit slower, or at least I would keep your expectations low until we really start to ramp it.
Sung Ji Nam: Great. Thank you so much.
Kevin Hrusovsky: Our pleasure, Sung Ji.
Operator: Thank you. And our next question comes from Doug Schenkel of Cowen. You may proceed with your question.
Chris Lin: Hey, good afternoon. This is Chris on for Doug today. Thanks for taking the question. Maybe just tipping off the last question. And Kevin, we recently participated on the -- or listened in to the SP-X webinar you hosted with Pacific Biomarkers. So, it sounds like researchers are really evaluating the workflow and performance of SP-X and that you've already placed several of these instruments at customer sites. I'm curious if you could just provide any update on the early feedback from the sites that have adopted SP-X and really how they're valuing this relative to the incumbents.
Kevin Hrusovsky: Yes. No. It's interesting. I've been studying bead versus planar and watching even the diagnostic industry work. Roche and Abbott are primarily bead-based, but there are a few newer entrants that have been planar-based. And so we're trying to disrupt both platforms via sensitivity. And what we're learning is that there's a lot of advantages to workflow for planar and particularly when you're moving into cancer where you have a lot of mutations occurring in cancer and the breadth of the immune system has a very significant number of cytokines that they want to measure. And they're very concerned about immunotherapies particularly that these immunotherapies only work -- they only give response about 10% of the time. But 10% of the time, they actually kill the patient as well. So you have two extreme ends, 10% that it works for and allows like Jimmy Carter to evolve with stage 4 melanoma and then still be alive. Like there's a lot of really great examples of a 10% group. But then there are some really bad examples of what's called cytokine release or cytokine storm that kills the patient. And then the 80% in between is a lot of investment for society because these things could be over $1 million a patient per year and it's not providing any benefit. And so we have a lot of researchers that want to understand the immune system and see which drug responds quickly to a given patient's immune system. So we think there's a lot of interest in our cytokine panel that we launched because we can actually see healthy levels of cytokine with our sensitivity. So any movement from the healthy level when the body starts to inflame or when the immune system starts to attack, those protein levels rise and we can see that movement very early. So that's going to give us the opportunity to see response and toxicity early, which for drugs that are so expensive, we're seeing a lot of interest in that category. And so a lot of our workout right now is showing customers this data and let them see first-hand that are our 10-plex, I mean 9 of the 10 cytokines, you can actually see baseline levels and that's unprecedented by anyone's technology. So it's very disruptive. But getting those demos out is important. Now that webinar you attended was one of the three customers that now owns our technology. That was PacBio. And Maribeth, she presented on PacBio's from their standpoint and their consumption levels are significantly off the charts per instrument. So, those are like the early test beds and it's incredibly favorable. And she actually showed data versus the competition and why it's so obvious to her that not only you get a workflow advantage, but you get this sensitivity advantage that you just cannot get from these other technologies. And it's vitally important in the area of oncology and autoimmune. So I think all of that bodes extremely well. We'll do more of those webinars because we were surprised how many people attended. We actually have a lot of investors attend and basically say it was one of the best sessions that they've seen of evidence of how sensitivity really is transforming the medical industry relative to drug discovery research. So I think it's all been positive so far and we're moving buildings. I think it's the second or third time we've moved since I've been running or been involved with Quanterix and we'll move I think in two weeks. And so we did ramp up our inventories of a lot of our assays to kind of cover for all the transition that's going to occur. We feel really good that the move is being executed with a lot of precision. And the printing machines to actually make the raw materials for the SP-X, we feel really good that that transition is going very well. So I think right now, we feel very good that this is a platform that's going to be really easy for us to scale once we get the demand created.
Chris Lin: Okay. Awesome. Maybe switching gears a bit. I'm curious if you could talk about the opportunity to cross-sell assays within neurology. I mean it looks like some of your customers are not just looking at NfL but also tau, amyloid beta and GFAP protein, among others. So I'm curious if you could talk about the ability to better cross-sell neurology assays as customers ramp on NfL?
Kevin Hrusovsky: Yes. It's interesting. We initially thought that our crossover point was going to be brain cancer because you've got both neuro biomarkers, as well as oncology biomarkers all at play there. And so we've been putting a lot of emphasis on brain cancer and John McCain and Joe Biden's son. And so we try to link it tightly to the market conditions to create a little bit more forward-looking understanding on how we might be able to help. But we have seen examples. We're not just in brain cancer, but in other types of diseases, particularly infectious disease, that leads to dementia. So a lot of HIV patients, for instance, start out with an infection and then later on, they get dementia. So there's this transitional stuff occurring between different disease stage where our biomarkers end up being the common denominator. It might be able to allow you to explore things that you couldn't explore before. We liken it to someone looking at United -- looking at the world from a spaceship and seeing all these little pieces of land. If you were able to lower the water, you would realize that all those islands are connected. And so we think these diseases are connected through the immune system, particularly the microbiome. And the ability to understand the immune system with our biomarkers, we think, traverses across all disease categories. So I do see cross-selling being very productive. We do see centers that are like only neurology but then we'll see those centers having an oncology win. Here's about it and says, what can we do? So our sales force is selling both. We have the cross-productivity, we think of selling neuro and oncology with the same sales force.
Chris Lin: Awesome. And maybe for my last question. How should we think about the gross margin outlook? So evolving leverage and a favorable mix obviously helped in Q1, but you still have significant room for margin expansion and consumables growth should continue to be strong for the balance of the year. So is 49% a good baseline going forward? Thank you.
Kevin Hrusovsky: So believe it or not, Amol has only been with us for like three weeks, but I've never seen anyone come up to speed, like, so rapidly on so many different fronts. So he's already taught me things about all of the different dimensions of our gross margins. So Amol, I was going to turn it over to you to see what your views would be on this.
Amol Chaubal: Yes. Sure. I mean, if you look at it, we have sort of three business lines, right? And instruments tend to be a lot more variable cost business because those are made by third parties. Consumable business is sort of a mixed bag of fixed and variable costs, which is why as volume goes up, you see sort of the volume leverage creep in. And we've been working on process excellence, which is why you see sort of some of the productivity gains come in. And services business tends to be a little bit difficult to predict because you can sort of move resources between the consumables business and the service business. So at this point, I think we feel good about what we achieved in Q1. We're sort of cautiously optimistic that there is room for improvement there as volume and productivity creeps in. So at this point at 49% seems reasonable.
Kevin Hrusovsky: The one higher-level thing that I found pretty intriguing is, this move to multiplex is an attempt to kind of understand the crossroads between what customers pay for our technology and the gross margin that we realize. Believe it or not, in the neuro landscape, we've been primarily single-plex. I think if you did the math, it would probably say that 80% of our revenue has been single-plex as opposed to multiplex. But when you start to multiplex, there's a lot of fixed cost that you're spreading across multiple analytes. And I think what's going to happen is that even though there's this kind of really good cascading effect to commercialization that by multiplexing, you're going to end up with greater gross margins at lower pricing in a way for the customer because you're going to get more analyte answers and there's going to be a little bit of the Moore's Law of gross margin opportunity. So the planar technology is strategic for us to give us that opportunity to kind of leverage into multiplexing to further advance the overall price of our technology and to make it more favorable but while making it more favorable, increasing gross margin.
Chris Lin: Awesome. Thanks for taking my questions.
Kevin Hrusovsky: Our pleasure.
Operator: Thank you. And our next question comes from Mark Massaro of Canaccord Genuity.
Max Masucci: Hi. This is Max Masucci on for Mark. Thanks for taking the question. So it's been roughly seven or eight months since you terminated your IVD agreement with bioMerieux, which should freeze you up for conversations with different sizes and types of diagnostics companies. So can you just help us understand if the pacing of these conversations has changed and just how you're prioritizing these types of conversations?
Kevin Hrusovsky: Yes. Max, it's a very relevant question. And the one thing that we said from day one is that we would try to grow a lot of value creation for our investors where there's no regulatory or reimbursement risk. But also hold out an amazing opportunity to go into a market 10x the size of research by entering into diagnostics. And getting all those rights back give us that upside, but we also don't want to be creating a scenario where we are expecting many hundreds of millions of investment to kind of precede the realization of the diagnostic reality because we think that has plagued the industry where a lot of folks make a lot of commitments on regulatory and reimbursement and they routinely fatigue investors with a lot of that pathway. So what we're trying to sort out is and what this has done for us is that many of our customers that are running drug trials that are looking at biomarkers, they also are very interested in companion and complementary diagnostics that later on allow them and the doctors to manage disease progression. Multiple sclerosis is like a great example. There's currently, I think, 15 drugs worth $22 billion currently in the marketplace for MS, but it takes about 2.5 years with today's technologies, primarily MRI, to know whether the drug is having the appropriate and the best effect on the patient. And if you can find out the answer of whether or not the drug is having the desired effect within a month or two by looking at blood biomarkers versus waiting 2.5 years, the cycle time of going from a bad drug that's not working to a good drug that is working at a personalized level could be the difference between someone dying standing up versus someone dying in a wheelchair. So we really are seeing a lot of neurologists around the world diving on NfL right now as the disease progression marker that ultimately will be a diagnostic to monitor a drug's effectiveness. And so we actually are looking at our asset of all the pharma/biotech. And if you look at my first slide carefully, you see that research world having these arrows going into the diagnostic world. The crossover point that we think is most strategic is in the actual accelerator lab and many of the workouts that we're doing with pharma/biotech in our Phase 1, 2, 3 trials and looking for companion diagnostics. And we've seen some pretty interesting deals from the various sites and the guardians and others really reveal a lot of value creation opportunity. If you've got a game changing, almost drug development platform in your company, you can deploy it to help pharma get drugs moving and keep them personalized, I think it could represent a downstream diagnostic opportunity. So that's one shot on goal that we're studying. Amol mentioned that we probably have an extra $1 million or $2 million per quarter right now where we're running a lot of studies. These aren't clinical trial studies. These are paper, strategic studies trying to sort out different ways for us to move into this and keep the investor from feeling the pressure of it before we are successful with it. So, I would also say in the area of IVD, there's a lot of interest from the IVD players to partner. And so we're continuing to entertain opportunities to look for a way to strategically partner. The bioMerieux partnership was incredibly productive, but as it ends up, they aren't really in cancer and they're not really in neurology. So, they weren't the best fit, but many of these other large IVD houses are really diving in particularly on liquid biopsy and they're diving in on the neuro opportunity. So we think there's going to be some good partnership opportunities, as well as some, I'll call it, direct opportunities. I don't know if we'll ever be our own IVD company. I wouldn't say we will not. But it's the type of strategic work that we're doing right now. And I would say in the next several quarters, we'll have a lot more information to feedback to investors on that.
Max Masucci: Great. That's very helpful. So you've spoken about the aspirational target of 40% revenue growth for the year and you've been meeting and exceeding the goal. So can you just speak about the overall visibility you have into each of your segments, understanding that this visibility will increase as you scale up the razor-razor blade model?
Kevin Hrusovsky: Yes. The bigger the base becomes, the harder it is to sustain the top-line percent growth. But right now, we see so many opportunities and so many different growth catalysts that we've been investing in that we are now unleashing that we feel very comfortable that despite a bigger base, our longer-term outlook can maintain at 40%. And again, I would say that consumables will be growing the fastest of all the categories. But I would say that the instruments and the accelerator are the feeder group for the consumables sales. And so obviously, we want to continue to get growth in both of those categories because they have a carry-on effect to consumables. And consumables can be someday, we think, 80% of our company, could drive our gross margins north of 70%, 75% as a full company. So we think there's a really attractive P&L that this type of business can create, and we're feeling like we can get to a lot of that value creation over the next three years in research without diagnostics. And so that to us feels like a good risk/reward runway for our investors.
Max Masucci: Great. In your commercial organization, you've called out plans to scale your direct sales force and that gives us 25% to 30% in a year, some additional adds and field application -- the field application teams. So how's the build-out going, is there some sort of aspirational number of direct reps you want to get to? And if you could just touch on how your international strategy is going just given the strength in China would be great.
Kevin Hrusovsky: This is a little bit more formulary and I think Amol is starting to really dive into the selling expense productivity and he's got a lot of really just incredible ideas to kind of help us further evolve and scale some of this. But the thing that I would say today is that we would like to grow our overall cost of selling expense at a pace less than our growth. And by doing so, we're going to create a lot of leverage. And we see the opportunity that there's a lot more inside sales that we can start to do and leverage across digital platforms that gives us a lot more leverage in our selling model. But in general, when we add a sales person, we're adding a couple of PhDs to support them. We have a very disruptive model for selling. We started this most senior level of the customer and we're able to create both from the bench up and from the senior level down buying in so that the science is to deploy our technology, which kind of helped and not take the big risk of implementing disruption by having the senior level relationships. And so in general, right now, Mark Roskey runs all of our worldwide commercial. He's a post-doc from Harvard Medical School. He's been working with me for over 20 years. That organization is in the midst of hiring a key general manager for China or Asia that will further spur on that growth opportunity. And we just hired a pretty seasoned veteran for our accelerator business, someone that I think is coming over to us from SomaLogic who built a pretty strong service business that I think they subsequently moved away from services. And so I think we're building out some really seasoned and we're attracting some of the best in the industry now, which is also exciting. So I think that we're getting good selling expense, scaling productivity because we're utilizing PPH and other reference selling models where our customers stand up and present. They show their published papers and then at the end, they say, oh, by the way, you can't do what I just showed you if you don't use a Simoa. And so we actually are relying more on that reference selling than we are on the direct sales person. So I think we're going to have a really efficient build-out. And I think four sales people are being added this year on top of 12, and then you add to that two PhDs plus four. You got maybe 12 people. We think that's going to be a real productive way to evolve at this year.
Max Masucci: Great. That's it from me. Amol, congrats on the new role and congrats on a great quarter.
Amol Chaubal: Thanks, Max.
Operator: Thank you. And our next question comes from Puneet Souda of SVB Leerink. You may proceed with your question.
Puneet Souda: Thank you, guys. Congrats on the quarter. Amol, it's great to have you on the team. Welcome on board. So maybe coming to the first question. I mean you've been delivering and I know you're not guiding -- you've been delivering really strong growth. I mean, we look at third quarter, fourth quarter now, another quarter of really strong growth here. Just sort of -- I know the long-term guidance has been around like 40% or so. Just give us a sense of how should we be thinking with this as a backdrop and just give us a sense into the back half of the year, which, I mean for The Street is a little bit more conservative and for us, too. And just give us a sense of -- there is quite a bit of momentum here. How should we be thinking going in terms of the cadence through the rest of the year? And then I have a couple of follow-ups.
Kevin Hrusovsky: So Puneet, I always feel like when I answer your questions, I create an opportunity for buyers because you always feel my answers underplay what the potential is and I create buying opportunities for investors. I know you feel that way, but part of why I do this is that we're still somewhat of a small company and we have never missed. We have a reputation for really good execution and I believe that we set out at the 40%. And what I think we're doing is we're eliminating the risk of the achievement each time we over-perform. And so I would say that our risk profile is going down, and I would not shift models to make our risk profile stay where it is. I would accept the fact that -- I mean, a 40% top-line growth is bringing the gross margin so rapidly up, maybe deserves better evaluation for revenue multiples or whatever and accept that versus getting too ambitious and then tripping somewhere. And I just think that we've got a formula that we've been -- I agree we've been outperforming. There has been some potentially favorable things occurring relative to timing. Maybe those aren't like all favorable. Maybe it's the new norm. It's hard for us to completely measure that, but I think that we feel really good about what we said going into the year. And I would say our risk profile pretty much has gone way down now relative to our ability to achieve that.
Puneet Souda: Okay. All right. That's helpful. And I appreciate your other comments about the end markets. But just on neurology, just help me understand, you have driven quite a bit of adoption there. You have a strong position. How much more room do you have here for growth? And I know you're layering in oncology and other areas, but just give us a sense on neurology that's being your strongest position.
Kevin Hrusovsky: Yes. It's almost hard to fathom, but I have this view based on incredible research that our team is doing. We're also utilizing a lot of the analysts like yourself, Puneet, and others who are supporting us. But when you look at where we're making our hay right now, we feel we're only 5% or 10% penetrated in neurology because we're really only dealing with MS. MS is where we've seen pharma really dive on this. And inside of MS, we think we're probably only about 15% penetrated on the trials. And so when you look at the size of Alzheimer's and Parkinson's and epilepsy and some of these other categories in neurology, MS is actually significantly dwarfed. So it's a small, small component, and you can see the kind of growth we're already driving. So when we talk about three shots on goal being MS, Alzheimer's and TBI, it's kind of an interesting opportunity where NfL sits at the bases of neuronal damage or axonal damage across all of those three shots on goal and they're all bigger markets than MS, Alzheimer's and TBI, and we have trials already running in all those categories. So I actually feel like the momentum of PPH when those trials get published creates a lot of energy and a lot of excitement for buying Simoas and utilizing it for neural/brain health studies non-invasively. And I think there are studies going on today that would never have even been done in the past because spinal taps are so invasive and nobody would run this study via a spinal tap. But when it's blood, they will. So I think we have a big runway of opportunity in neuro that we've just begun to evolve into, and our service is even more embryonic in that area than our product sales. And then, on top of that, oncology, which is one we're just beginning to establish our plan there to create a foothold.
Puneet Souda: Got it. And if I could touch on your conversations with pharma and the broader sort of pharma groups trying to ramp up in protein. Just give us a sense, the majority of these pharma trials when they're looking for companion diagnostics or looking for biomarkers, they're looking largely in genomics and there have been some shift to proteomics and you're benefiting from that. So give us a sense of where pharma sits and how important they are thinking proteins and peptides are going to be of longer term here.
Kevin Hrusovsky: I should let you answer this, Puneet, because you are the proteomist in your former life. And I think you realize that in the area of neurology, there's very little going on really in a significant way with genomics and genetics as there is in cancer. In cancer, you can see where the next-generation sequencing from Illumina has really had a pretty significant impact. Our view, however, is that most of the liquid biopsy companies that we're talking to, they want to have a complete snapshot of what's going on in the body not just the DNA and the RNA. They want to understand the protein profile given the DNA and RNA. There's a lot of big data algorithms starting now to say one patient could be very different than another patient based on where the protein level might be in a given disease cascade versus the DNA and RNA, and they want to kind of triangulate across all three. So we feel like proteins are going to get more excitement in oncology. Where they were, it was that way back 30 years ago that this was no good tool for proteomics. And what's happened since then is the importance of the immune system for fighting cancer. And I think once the immune system became the first line with the hallmarks of cancer treatment, it's becoming now a big area of opportunity for protein measurement. And I think companies like [Technique] [ph] can see this, too. They've got a very broad suite of cytokines in their portfolio and I think that bodes very well for a company like [Technique] [ph] because those cytokines are the basis of a lot of that research in the immune system. And I think that's the future for a lot with cancer research. And protein are very interesting and the antibody pairs that then measure those proteins are very important to that opportunity. So we don't have an antibody position today. It's something that we rely on many different antibody suppliers, but I would say that the antibody industry for protein measurement should also be benefiting in a pretty material way by the move toward proteomics. And the more tools there are that can allow proteins to be measured non-invasively and cleanly, the faster those antibody technology should be growing as well. And I think that's why you see companies like [Techni] [ph] actually taking their own instrument positions to further advance the analytics to drive them the protein opportunity. So I think it's a pretty rich area across almost every disease category. We just honed in on neurology and oncology as our first two major areas, shots on goal. I think we may have lost Puneet.
Operator: Yes. He's dropped from the podium. And I'm not showing any further questions at this time. I would now like to turn the call back over to Kevin for any further remarks.
Kevin Hrusovsky: Excellent. Hey, thanks so much. The investors have meant so much to us as we build this company out. You guys have really put us on the map. Anything we can do to further help you understand our business models, we have many of you visit us in the last couple of weeks here at Lexington. We have new offices that are going to be pretty remarkable. We'll be in those in a couple of weeks, but we would welcome anyone that wants further education around what we're doing and but what happens is we learn a lot from our investors every time you come. So please reach out. Stephen's here with us as well, providing a lot of investor communications. So keep us posted and thanks again for listening in to our call.
Operator: Thank you. Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone have a wonderful day.